Operator: Good day and thank you for standing by. Welcome to the LendingTree, Inc. Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Andrew Wessel, VP of Investor Relations and Corporate Development. Please go ahead.
Andrew Wessel: Thank you, Didi and good morning to everyone joining us on the call to discuss LendingTree's fourth quarter 2023 financial results. With us on the call today are Doug Lebda, LendingTree's Chairman and CEO; Scott Peyree, COO and President of Marketplace Businesses; and Trent Ziegler, CFO. As a reminder to everyone, we posted a detailed letter to shareholders on our Investor Relations website earlier today. And for the purposes of today's call, we will assume that listeners have read that letter and will focus on Q&A. Before I hand the call over to Doug for his remarks, I remind everyone that during today's call, we may discuss LendingTree's expectations for future performance. Any forward-looking statements that we make are subject to risks and uncertainties, and LendingTree's actual results could differ materially from the views expressed today. Many, but not all of the risks we face, are described in our periodic reports filed with the SEC. We will also discuss a variety of non-GAAP measures on the call today, and I refer you to today's press release and shareholder letter, both available on our website for the comparable GAAP definitions and full reconciliations of non-GAAP measures to GAAP. And with that, Doug please go ahead.
Doug Lebda: Thank you, Andrew and thank you to all who are with us on the call today. In 2023, we strategically simplified our business, reduced our fixed expense base, strengthened our balance [Technical Difficulty] margins. Despite the revenue challenges we continue to navigate, we remain solidly profitable and maintain the ability to strategically invest in the company. All three of our reportable segments have operated through a historic period of disruption, following a rapid move, higher in interest rate [Technical Difficulty] period of elevated inflation. And at the same time, our business model has again proven its durability and as we earned $78.5 million of adjusted EBITDA this year and generated $55 million of free cash flow. As our lender and insurance partners broadly pulled back from new customers as of these external factors last year, we chose to focus on efficiency, causing our operating margins to steadily increase throughout the year. In the fourth quarter, we earned $15.5 million, which is normally a seasonally softer quarter for us. Encouragingly, the much anticipated upturn in our insurance segment began to take hold in December and has continued to strengthen into the first quarter. The consumer, auto, and home insurance markets have endured a prolonged hard market cycle over the last two years that is in many ways unprecedented, driven by the inflationary impacts to loss cost, the following one after COVID lockdowns. Now, that insurers have effectively passed through numerous rounds of price increases, they have returned to a more robust pace of marketing spend. Fortunately, our customers continue to shop for new policies at record levels with volumes increasing 10% compared to a year ago. During the quarter, we also repurchased $100 million of our 2025 convertible notes at a discount to par value, similar to the transaction we completed earlier in the year. We now have opportunistically paid down half of the original $575 million amount of these notes at about a 20% discount, and we remain committed to retiring the remainder in the most efficient manner possible for our shareholders. Finally, the financial outlook we released this morning assumes continued improvement in the insurance segment compared to last year. We have taken what we believe to be a conservative view for our home and consumer [Technical Difficulty] dislocations in the housing market, and persistently tighter lending standards at many of our consumer partners. However, due to the extensive work we've done rightsizing our expense base, we're now forecasting our adjusted EBITDA will grow at a healthy pace from last year as we hold fixed costs near current levels. [Technical Difficulty] revenue picture improves, we would expect this operating leverage to positively impact our bottom-line. And now operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jed Kelly of Oppenheimer and Company.
Jed Kelly: Hey great. Just two if I may. One in the consumer segment. Can you talk about just on the outlook how much of the growth is that you control sort of based on improving conversion sort of maybe clan back some of the market share losses versus what's going on in the macro. And then it looks like the Fed is going to push out the interest rate cuts. Can you just talk about how that impacts your outlook and then how you think about potentially refinancing the convert? Thanks.
Doug Lebda: Sure. Let me take the second part of that on home when we have the operational pieces on consumer -- and -- but I would say that high level, Jed, our outlook in terms of controlling it and not controlling it what I would say is this. When you look at LendingTree as a balance of supply and demand and all of your advertisers, all your clients are pulling back. Obviously, we right-sized the marketing right-size the business to get that right. We believe that every one of those segments is now at its bottom. And now all you're waiting for in consumer is better credit -- so that we can lean into marketing. So, any conversion rate improvements, anything from our initiatives. We have a little bit baked in to our outlook from our TreeQual initiative, for example, that's starting to bear some real fruit and our lenders are really liking it, a really robust pipeline there. So, we baked in some a little bit for some of the things that we know that we're pretty certain are going to happen, and we also can still invest in the business. So, I feel really, really comfortable about the guide we're giving. I think it's also shown significant growth [Technical Difficulty]. As soon as the -- thing that people miss about our business is that when rates start to fall even a little bit, our business in home and refinance moves with the rate of change of interest rates. So, you don't need you only little tick down, call it, 0.25, 0.5 point in mortgage rates, and you will have a whole bunch of borrowers today that are coming through our funnel that doesn't make sense for them to refinance and it will, once conditions improve a little bit. Scott do you want to add on anything there and Trent and talk about the refinancing.
Scott Peyree: Thanks Doug, this is Scott Peyree. Hello, Jed, how are you doing this morning? Just to add on real quick to some of Doug's comments there. I would start to say in the consumer lending side of the businesses, a lot of those items from a consumer perspective, they're not quite as rate-sensitive. If you're looking at personal loans or small business loans or credit cards. These are more just consumers that need money and are seeking out money. We did, as we've had a lot of focus over the past year in optimizing the business, both from an OpEx perspective, but then also just from a media performance and marketing performance perspective. I'll be honest, I said we probably gave up a little bit of market share. We probably let the pendulum swing a little too far to the optimization side. But that said, I think we're in a very, very good position right now where our business is very profitable on a unit economic basis. And we are ready and are actively leaning into multiple areas of opportunity. I mean we're already seeing strong sequential growth in our home equity business. Really strong sequential growth in our small business area. We're also seeing growth in the purchase and refi in auto loans sequentially. So, even though they're coming off of lows, we are now pivoting the business back to growth mode. And as those interest rates have leveled, it does change the consumer psychology even though they remain elevated, that there is a large quantity of consumers coming through and searching for loans on a day-to-day basis.
Doug Lebda: Trent talk about the refinance.
Trent Ziegler: Yes. Jed, can you repeat the question on the-- 
Doug Lebda: Yes, let me hit it first. So, Jed, it was how [Indiscernible] the credit, from my perspective, the credit markets have definitely improved a little bit. We continue to have conversations. Trent can add on more, but we're pretty confident that we'll be able to handle that. Why don't you take it? Add on anything else -- and we feel wherever we would be, we wouldn't be taking on a debt load that we couldn't handle. We think the company is on really sound financial.
Trent Ziegler: Yes. As it relates to the balance sheet, Jed, I mean, obviously, we did a lot of work last year to make that a much more manageable number. We've continued to explore for the last three, four quarters. We've been having a bunch of conversations sort of looking at alternatives across the capital structure, those conversations are getting quite a bit more constructive as the fundamentals are becoming more stable and improving. So, we feel pretty good about our ability to address that maturity in the first half of this year.
Jed Kelly: Thank you.
Operator: Thank you. And our next question comes from Youssef Squali of Truist Securities.
Doug Lebda: Hi Youssef.
Youssef Squali: Good morning. So, maybe just stepping back a little bit at a high level kind of following up on the macro question. As you were formulating your 2024 outlook, can you just talk about what you are baking as a base case [Technical Difficulty] and I guess what I'm really trying to get to is, could you hit your guidance of flat revenues across the entire business if rates stays -- high? And then can you maybe just talk a little bit about the competitive landscape across the three segments. I just talked about maybe on the consumer side, how you guys go back a little bit, lost a bit of share. How are you -- how did you do across the other two segments? And how are you kind of positioned as you enter 2024? Thank you.
Doug Lebda: Yes. So, if I understand it [Technical Difficulty] base case assuming for the macro for our guide and talk about competition. Is that -- did I get that right?
Youssef Squali: Yes.
Doug Lebda: Okay. Good. So, our base case assumed the higher for longer rates and we're not baking in any -- our -- nothing in our guidance is baking in Fed rate cuts or a strong consumer credit conditions at PL lenders or things like that. So, we're not -- but everything that we're doing from here on out is that you see is managing the business as it is today, baking in initiatives that we know are happening. On [Technical Difficulty] let Scott drill down. The good news about this space now is we have a defined set of competitors in both insurance and lending in lead generation or comparison shopping and you can all compare results. We feel that we are absolutely gaining share and doing well and doing very, very well in insurance. And we think that to the extent that we lost share to competitors, that is simply due to a Scott -- I'll put a finer point on something that Scott said earlier, when we were working on our marketing last year, we reduced our out of bids and manage our Google stuff very differently, manage our advertising broadly, very differently. And now we can lean back in and regain some of that share simply by marketing into the better unit economics that Scott talked about. Scott, why don't you hit anything else on competition?
Scott Peyree: Yes, just high level, Youssef, on the competitive landscape. I'll start in insurance. I think we are positioned extremely well in the insurance space. I believe from everyone that's reported, we're the only company that's looking at growth year-over-year in Q1 in both revenue and BMD and growth on a double-digit percentage basis in both of those categories. So, our -- and it's pretty wide [Technical Difficulty]. Our health insurance business had an all-time high year last year in revenue in VNB, both Q4 and the year as a whole. That's a very strong business for us. Our local agent business is very strong for us. January was our all-time high revenue for local agent revenue with also the highest quantity of agents buying leads from us that's ever been. Our paid search quote requests are nearly triple what they were from 2021 levels. So, we are controlling a massive amount of very high intent, high-quality consumers. So, I believe there we've done a very good job of increasing our piece of the pie during the downturn and are positioned well to maintain that piece of the pie, we increased as growth comes back. And I'll step back and say this is going to be a broad-based recovery. There's lots of good companies in our business that have good relationships with the clients. And everyone's going to be rewarded during the insurance recovery that's going to happen over the next 24, 36 months, and it's happening very rapidly. So, I think we're going to be an outsized winner of that, but I think everyone is going to be a winner of that recovery. Hitting on mortgage quickly, I feel we -- even though it's in a severe downturn right now, we pretty much maintain a very dominant position in the mortgage space. We've got extremely close relationships with the biggest players in that space, but we also have what I would call the broadest distribution network from a client perspective as well. We have much more clients and broader client distribution in mortgage purchase refi home equity than our competitive set does. On the consumer side, that's probably the one area where we've struggled more than the other two categories, but it's also an area where I would say I have some of the most optimism because there still remains a lot of consumer demand. There's been just a level of consistency with our clients over the past three months, so we have not seen in over a year. So, now that we've reached that level of consistency, it's going to make it much easier for us to lead in the growth opportunities and lean in the media opportunities. So, I think we're going to see -- I think you're going to see over the next year starting to gain some of that market share back.
Youssef Squali: That’s helpful. Thank you, both.
Operator: Thank you. And our next question comes from Ryan Tomasello of KBW.
Ryan Tomasello: Hi everyone. Thanks for taking the questions. Just to put a finer point around the convert. How committed is the company to avoiding equity-linked dilution when addressing that maturity? And Trent just to clarify, in your earlier remarks, did you say you're optimistic you can address that in the first half of this year? Or did I hear that wrong?
Trent Ziegler: Yes, that's right. Good question, Ryan. Yes, look, I mean, we obviously are sensitive to dilution, right, as we've been exploring the various alternatives. Obviously, those -- the alternatives are not great when our stock was penny share, they're becoming more interesting at $35 a share, but also our fundamentals and just the cash flow and debt service that we can support make us feel pretty confident that we don't have to use dilution as a means to addressing the maturity. So, that's point one. And then it has always been our stated goal that we want to address this thing before it goes current in July of this year, and we intend to continue to try to find the best path to doing so.
Ryan Tomasello: Okay.
Doug Lebda: The only thing I'd add is, as we started down this process, I am as much personally and corporately as we focus on shareholders [Technical Difficulty] various dilution on that. And we -- as Trent said, we feel good we can do it non-dilutively.
Ryan Tomasello: Okay, great. And then, Scott, as a follow-up on the insurance business, I'm just trying to understand if there's how you view as this recovery takes shape, if there's any marketing channels in the space that are maybe better positioned to capture more spend or see that recovery sooner than other areas among SEM, direct-to-click, direct carrier versus agents? Just trying to understand how LendingTree QuoteWizard is relatively positioned versus the competition? Thanks.
Scott Peyree: Yes, I mean I think when you look at the recovery in any industry, I mean, insurance is included, but what the clients are going to go after first is the highest quality, highest intent, most profitable consumers for them. And I think we have done a very good job over the past two years with a laser-focus on increasing our position in the various marketplaces where those highest quality consumers are. And honestly, Ryan, I think that's -- that is what's given us some outsized budget in the early days of the recovery. Now, as the recovery broadens, as the year goes on, as carriers are going to open up just the model [ph] of their budgets more fully to all the competitive landscape, and that's where you transition and you probably have to -- the margins have to come down a little bit to maintain your positioning. But I think it's a lot easier to maintain positioning than to try to grow positioning. And we've done a lot of growing our positioning over the past two years.
Doug Lebda: And Ryan, I'd add to that. What I really have loved about the insurance business and I'm so happy that acquisition. And what Scott was leading there was sharpening the marketing pencil and getting ready for the recovery, but still maintaining great client relationships so that when they come back, we hopefully get more of the spend than our competitors. And then we have to be able to deliver to them the number of policies that they want. And as you know, it sounds like you're very up to speed on the insurance businesses here. The carriers, some of them are better with direct-to-agents. Some are better with calls, some are better with click, some events, some are better with lower intent and the great thing -- and some are auto and some focus in homeowners. And the beautiful thing about all of that is we've got a very, very well-balanced portfolio of insurance channels, where we can help our clients -- how they want. And now Scott is leading that on the lending side. And I think we still have those very good relationships and as it's profitable for our clients to spend, we feel that they'll be spending back into it this year.
Ryan Tomasello: Great. Appreciate all the color.
Operator: Thank you. And our next question comes from John Campbell of Stephens.
John Campbell: Hey guys. Good morning.
Doug Lebda: Good morning.
John Campbell: Hey wanted to stay on the insurance segment and outlook. Obviously, it was encouraging to see you guys to see the snapback in activity in December. It looks like your 1Q outlook seems like obviously, a continuation of strength and then share gains as well. But I'm curious about how you guys are thinking about the sequential lift coming out of 1Q? And then maybe just more broadly, how the shape of that curve is going to look. I know the exact timing is going to be difficult to pin down. So, maybe if you guys could also talk to whether you think the puzzle pieces are in place to maybe reach new peaks at some point this year in the insurance business?
Doug Lebda: Trent, I'm going to let -- when you're talking about the curve, are you talking about everything? Are you just talking about insurance?
John Campbell: Just within insurance for now?
Doug Lebda: Okay.
Trent Ziegler: Yes, John, just from -- in terms of the guide, I mean, we're -- look, we're obviously monitoring this in real-time. We see what we see in Q1, which has been really strong sign of where things are headed. Kind of like Doug's commentary around our outlook for home and consumer and what we baked in. We think in a fairly conservative stance here, right? And so we assume -- as the year progresses, we're not baking in a ton of upside. That said, obviously, we do feel like the recovery could become more broad-based. And I think Scott can add some color commentary to that.
Scott Peyree: Yes, I'll add in there, John. I would say as Trent said, I think especially with whatever after what happened in Q1 last year. We went from a forecasting perspective, we want to be conservative until our clients -- we bake in some of the guaranteed budgets from our clients. Now, that said, all of our conversations with our clients broad-based across the board as they are very happy, very profitable and are going to continue expanding geos as the year goes on. So, just anecdotally, I would expect continued sequential growth quarter after quarter after the year -- as the year goes on, unless some major macro event happens, it's a very broad-based recovery in insurance. There's a lot of profitability across the board. We are already getting -- I mean, there was a few carriers that were opening geos in March that as of a month or two ago, we thought it would be the end of the year before they opened up any new geos. So, I think there is a snowball effect that's happening, the snowball is rolling down the hill. And I -- from my standpoint, I am extremely optimistic on continued growth throughout the year.
John Campbell: Okay, that's very helpful. And then -- maybe for Doug here. This is kind of a near-term, medium term question as well as kind of a bigger picture question, just a two-part question. But on the brand spend, I think you guys closed this year at $8.9 million. That was closer to $30 million in the last three years and make it a little bit higher than that in the years prior to that. So, curious about what you guys have kind of outlined for this year? How much of that is fully committed? And then bigger picture, what's your thinking about as far as brand spend, -- is that something you expect to ratchet higher over time? Or is this a new kind of normal lower level at this point?
Doug Lebda: So, the way -- a really, really great question and LendingTree benefits from the fact that we started with TV spend in the year 2000 instead of doing a AOL at the time. And it proved out that TV, we could drive consumers profitably through TV. We then got our online act together, and that brand is obviously helped our online. We have zero assumption of brand spend this year in here. And the way the advertising works is you only really get to TV spend for us when your unit economics and your demand from your advertisers is so high that it's actually economically viable. So, we see TV spend, just like we see search spend -- attribute, but we're actually working on that, too. So, we don't plan on TV this year. If you see us on TV -- any time you see us on TV, it means that -- we are investing in the most expensive channel to acquire customers because our client forum at prices that makes sense for us to do that. So, I love it when we can be spending big on TV because that means we're -- we can't go grab any more volume from online.
John Campbell: Okay. Thank you, Doug.
Operator: Thank you. Our next question comes from Melissa Wedel of JPMorgan.
Melissa Wedel: Good morning. Thanks for taking my questions. First, I just wanted to clarify. I apologize. I think -- Doug, did I hear you right, you're looking for double-digit year-over-year growth in the Insurance segment in 1Q?
Doug Lebda: Yes, in both revenue and VMD.
Melissa Wedel: Okay. Got it. Thanks for clarifying that. Can you talk about what the implications are given on margin, just kind of throughout the year and how you expect that to progress kind of across the various segments? Thanks so much.
Doug Lebda: So, I'll hit this and then Scott, you should go into it in detail. When you look at VMM margin, that's where we [Technical Difficulty] we focus on VMM dollars, not VMM percentages. So, as you spend in -- so as clients are upping their bids, we turn around and up our bids to go get customers. And so you do see some decrease in margin. But we're doing it in insurance, we're seeing that we can come back and drive volume at margins that are still pretty good, that are almost in line with where they were last year. Scott, do you want to add on to that?
Scott Peyree: Yes. Melissa, like you started in insurance, I would Q1, our margins are still very strong from a historical standpoint, maybe down slightly over Q4, but very, very high. That said, I mean, as the recovery exchanges in revenue growth happens across the board, media will get more expansion, margin will come down a little bit. But as Doug said, it's about increasing total VMD dollars and -- and that's our focus there. And we will lean into traffic and revenue that's profitable for our clients and make additional VMD dollars for us. I would say on the mortgage side, you're probably -- until you start seeing a recovery, you're probably just staying fairly -- we're running at a pretty good margins right now. You're not really looking to squeeze those margins for traffic until you start seeing more of a broad-based recovery and refinance and whatnot. Now, that said, like home equity, there's a lot of growth opportunity, I believe, in home equity in the current and near-term. On the consumer side, I do think -- honestly, I think we're probably currently leaving some VMD dollars on the table by running very strong margins, which were running very strong margins right now. But that is something we are going to actively look into to see if we can reinvest in certain areas and gain market share and increase our total VMD dollars by running a bit slimmer margins.
Melissa Wedel: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Jamie Friedman of Susquehanna International Group.
Jamie Friedman: Hi. I wanted to ask about student loan repayments. So, I was just wondering how, if at all, did the resumption of student loans around October affect say, the lending partner sentiment towards loan originations or the consumer behavior? Any color on student loan would be helpful.
Doug Lebda: Scott, do want to take?
Scott Peyree: Yes, hello Jamie. That was a lot of discussion about six months ago is what was going to happen there. And I think the short answer is a lot of nothing at this point. That came through the loan repayments started or semi-started however you want to define that from a broad-based perspective from our clients, there was no significant change in defaults or delinquency rates based off of that, that they're seeing. It's more of a broad -- I think -- that's where there's just generally a lot of semi-caution in a lot of the consumer lending businesses right now as defaults were starting to creep back up last year is where are they going to level off that? I'd say outside of credit cards, where we sit right now, most of these businesses, small business, personal loans, they've kind of leveled off at the pre-COVID levels. So, it's not really -- people are -- the clients are cautious there, but they're feeling optimistic that the followers are starting to level off. And I don't think they really saw the impact that they thought might happen from student loan repayments restarting.
Jamie Friedman: Okay. Thanks Scott. And then for the follow-up, I was just wondering, are you largely done with the restructuring now? And if so, or if not, either way, how would those improvements flow through to potential operating efficiency in 2024?
Doug Lebda: Yes, we are done with restructuring -- and we have contingency plans if God forbid, there was another cataclysm in our economy, and so we are largely done. The good -- there's something else that came from costs side is, we now know where every dollar is going and what the return on that dollar is, maybe not quite every dollar yet, but pretty turn close. And so now we can -- if we add back staff, it will be like hey, if we hire 10 new salespeople, we can go get X more clients and get that much more demand and the 10 salespeople will have an ROI that will pay off. If we push our AI investments faster, that would -- output or else we wouldn't be investing in it. And do we -- can we do some of those things as they come back? And as your unit economics improve, all of a sudden, like the projects that you had before that didn't make sense at those economics, well, now they start making sense and so there's definitely more work to do as we go to what I would call managed growth, and we can manage our growth from here any increase in expenses or I would say, 90-plus-plus percent of them would be [Technical Difficulty]
Jamie Friedman: Perfect. Thank you both.
Operator: Thank you. I'm not showing any further questions at this time. I would like to turn it back to Doug Lebda for closing remarks.
Doug Lebda: I would like to thank everyone on this call. Like everyone in this call to know, we are passionate about continuing to improve our business. Our team is focused on driving better outcomes for both our partners and our customers, through enhanced routing of inquiries and smarter matching of existing offers. We are encouraged by the growth we are experiencing in our insurance segment and look forward to eventually pairing that with an inflection in our home and consumer businesses to drive significantly improved financial performance. And thank you all for being here and we look forward to talking to you in next quarter.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.